Operator: Good morning, and good evening. Welcome to the Sea Limited's Fourth Quarter and Full Year 2020 Results Conference Call. [Operator Instructions]. I would now like to turn the conference over to Ms. Min Ju Song. Please go ahead.
Min Ju Song: Hello, everyone, and welcome to Sea's 2020 Fourth Quarter and Full Year Earnings Conference Call. I am Min Ju Song from Sea's Group Chief Corporate Officer's Office. Before we continue, I would like to remind you that we may make forward-looking statements, which are inherently subject to risks and uncertainties and may not be realized in the future for various reasons as stated in our press release. Also, this call includes a discussion of certain non-GAAP financial measures such as adjusted EBITDA and net loss excluding share-based compensation and changes in fair value of the 2017 convertible notes. We believe these measures can enhance our investors' understanding of the actual cash flows of our major businesses, when used as a complement to our GAAP disclosures. For a discussion of the use of non-GAAP financial measures and reconciliation with the closest GAAP measures, please refer to the section on Non-GAAP Financial Measures in our press release. I have here with me Sea's Chairman and Group Chief Executive Officer, Forrest Li; Group Chief Financial Officer, Tony Hou; and Group Chief Corporate Officer, Yanjun Wang. Our management will share strategy and business updates, operating highlights and financial performance for the fourth quarter and for the full year of 2020. This will be followed by a Q&A session in which we welcome any questions you have. With that, let me turn the call over to Forrest.
Forrest Li: Thank you, Min Ju. Hello, everyone, and thank you, as always, for joining today's call. 2020 was a landmark year for Sea. Our team, users and communities all faced unprecedented challenges as a result of the pandemic. This further reinforced the importance of our mission to empower the consumers and small businesses in our communities with technology. We adapted rapidly to enable our users and community to meet the unique challenges of the last year, while also successfully addressing the fast-growing and fast-evolving demand from our users for these products and services. For example, we quickly build up home and living and grocery offering on the Shopee platform, lockdown seller support program to help local merchants to get back on their feet faster, accelerated our digital payment service offering and shifted major esports events online, each with highly successful results. The lockdown and social distancing measures to curb the pandemic have materially accelerated the digitalization of our economies, and we expect the effect to be long-lasting. During this time, our team has demonstrated their resilience, adaptability and strong execution. We believe these capabilities position us very well to capture and drive the significant growth opportunities ahead as a strong market leader. Our results for the fourth quarter and for the full year of 2020 speak to the success of our approach. On the group level, in the fourth quarter, we recorded accelerated year-on-year growth in GAAP revenue compared to the previous quarter. It reached $1.6 billion, up 102% year-on-year. We've also recorded 102% year-on-year growth in our fourth quarter gross profit to reach $533.7 million. Our fourth quarter adjusted EBITDA was $48.7 million compared to an adjusted EBITDA loss of $104.9 million a year ago. The strong fourth quarter results contributed to an outstanding set of results for the full year of 2020. GAAP revenue for the full year more than doubled compared to that of 2019 to reach $4.4 billion. Gross profit grew 123% year-on-year to reach $1.3 billion. We also achieved a positive adjusted EBITDA of $107 million for the full year compared to a loss of $178.6 million for 2019. This was supported by the strong performance across our digital entertainment and e-commerce businesses. For the full year, Garena achieved bookings of $3.2 billion and Shopee achieved GAAP revenue plus sales incentive net-off of $2.5 billion. Both businesses exceeded our recently raised full year guidance for 2020. Let me now discuss each business individually, starting with digital entertainment. Garena's outstanding performance in the previous quarter continued in the fourth quarter as we recorded bookings of $1 billion, up 111% year-on-year. Adjusted EBITDA in the fourth quarter was $663.5 million, up 149% year-on-year, representing 66% of bookings. For the full year, we generated bookings of $3.2 billion, increasing by 80% year-on-year. Garena's adjusted EBITDA increased by 94% year-on-year to reach $2 billion, representing 62% of bookings. The strong financial performance in the fourth quarter and the full year was a result of our ability to continually expand our user and paying user base. Every quarter, more gamers globally engaged with our in-game content and esports activity. In the fourth quarter, quarterly active users reached 610.6 million, an increase of 72% year-on-year. Quarterly paying users $73.1 million -- 73.1 million, up 120% year-on-year. Our paying user ratio measured as quarterly paying users as a percentage of quarterly active users continues to grow in the fourth quarter to reach 12%. Free Fire was once again a key driver of Garena's outperformance. According to App Annie, it continues to be the highest grossing mobile game in Latin America and Southeast Asia in the fourth quarter as well as the full year of 2020. It has maintained the top ranking for six consecutive quarters. The strong performance was also evident in India where Free Fire was the highest grossing mobile game for the fourth quarter and for the full year of 2020 based on App Annie. We are also pleased to share that Free Fire was once again the most downloaded mobile game in the world in 2020 according to App Annie. This is the second year in a row that Free Fire was ranked first globally as we continue to grow the Free Fire user base worldwide and build even tighter bond with global gamers. We believe that Free Fire is formally establishing itself as a strong global gaming franchise and platform. One of the key factors in Free Fire's success is our commitment to keeping our games fresh and engaging. Gamers around the world increasingly recognized Garena's reputation for constantly enhancing the Free Fire experience with innovative content, partnerships and esports activity. In the fourth quarter, for example, we announced a partnership between Free Fire and Football Legend, Cristiano Ronaldo, marking one of the most significant tie-ups between the esports industry and the physical sport industry in recent times. In addition to new in-game items and playable characters, we also introduced 2 new game modes as part of the partnership with Cristiano Ronaldo. A limited-time battle royale risen game mode and the team-based 1v1 view mode. Our users love these new game modes as they provide a richer and more varied gaming experience by morphing different types of gameplay into the battle royale genre. Free Fire's huge and growing esports and streaming community is another key pillar of our user engagement strategy. We made significant progress in deepening engagement with our community in 2020. Despite the challenge of holding live events, 3 of the 5 top esports tournaments by peak concurrent viewers in 2020 were Free Fire tournaments according to esports charts. In 2020, Free Fire was once again the top-ranked mobile-only video game and the top-ranked battle royale video game on YouTube in terms of views. It was also the third ranked game overall on YouTube by view count. Free Fire related content recorded over 72 billion view counts across YouTube globally over the course of the year. The game was also named Esports Mobile Game of the Year at the Esports Awards 2020. The esports activities and online video content helped to drive up gamer engagement around the Free Fire franchise, while extending its reach to a wider group of communities as a spectator sport. While we continue to grow Free Fire into a long-lasting global franchise, we are also focused on building solid foundations for Garena's long-term growth. For example, in the fourth quarter, Phoenix Labs, our AAA gaming studio based in Vancouver announced a further expansion, adding new offices in Montreal and Los Angeles, alongside its existing bases in Vancouver and Seattle. It also plans to build out teams in each of those cities to focus on new game development. We are confident that the expanded Phoenix Labs team will deliver great content in the years to come. As we move through 2021, Garena is building on the strong momentum of 2020 and strengthening our position as the global leader in the digital entertainment industry. We believe that our uniquely understanding of the taste and the preferences of global game community and our proven ability to build lasting forms of affinity with gamers in diverse markets around the world will continue to drive growth and success for Garena in 2021 and beyond. Moving on to e-commerce. 2020 was an extraordinary year for Shopee. In a challenging environment, we adapted quickly to serve our communities and addressed the fast-evolving needs of our buyers and sellers. As a result, we have cemented Shopee's position as the favorite e-commerce platform for both buyers and sellers across Southeast Asia and Taiwan. We continued to record excellent results for the fourth quarter. Year-on-year growth for e-commerce gross orders, GMV and GAAP revenue, further accelerated compared to the third quarter. In the fourth quarter, Shopee recorded 1 billion gross orders, up 135% year-on-year; and GMV of $11.9 billion, an increase of 113% year-on-year. GAAP revenue grew 178% year-on-year to $842.2 million. Adjusted EBITDA loss per order decreased by 41% year-on-year to $0.41 during the quarter, reflecting the efficiencies we have reached across 2020, even as we continued to invest in growth, especially during the peak shopping season. For the full year of 2020, Shopee's gross orders totaled 2.8 billion, up 133% year-on-year. GMV was $35.4 billion, an increase of 101% year-on-year. GAAP revenue grew 160% year-on-year to achieve $2.2 billion. In Indonesia, Shopee's largest market, we continued to grow our leadership position. We recorded more than 430 million orders in the fourth quarter. This translates into a daily average of around 4.7 million orders, up 128% year-on-year. According to App Annie, Shopee continued to rank first in Indonesia by average monthly active users, total time spent in app on Android and download in the shopping category in the fourth quarter and for the full year of 2020. We are also encouraged to see more sellers and brands around the region doing business on Shopee. For example, Shopee Mall, our dedicated space for leading brands, now features over 23,000 international and local brands. As our communities increasingly embrace e-commerce as their top retail toy, we believe Shopee's relentless focus on serving our users ensures that we continue to capture the largest share of the resulting growth. In both the fourth quarter and for the full year, Shopee was ranked #1 in the shopping category across Southeast Asia and Taiwan by average monthly active user, total time spent in app on Android and download based on App Annie. In fact, Shopee was ranked the third most downloaded app in the shopping category globally for the full year according to App Annie. The success of Shopee has also translated into stronger brand recognition across our communities. We see this in YouGov's recently published Best APAC Buzz Rankings 2020 where Shopee was ranked first in Asia. Shopee was also the #8 brand in YouGov's Best Global Brands 2020, representing 1 of the 2 e-commerce brands in the world's top 10 ranking. Our strong focus on serving our users will continue to drive lasting brand affinity across our regions. In each of our markets, e-commerce adoption continues to grow at an accelerated pace, and we believe that as the go-to online shopping platform, Shopee will successfully capture and further drive these growth opportunities. Turning now to digital financial services. SeaMoney had a transformational year in 2020, has successfully captured opportunities presented by both acceleration of digitalization in our economy as a whole and the particularly strong growth of our e-commerce platform. As a result, it enjoyed rapid and efficient growth in the fourth quarter and the full year of 2020. For the fourth quarter, SeaMoney's mobile wallet recorded total payment volume of $2.9 billion, with quarterly paying users surpassing 23.2 million. This was partly driven by monthly paying users in Indonesia, which exceeded 10 million during the fourth quarter. For the full year 2020, our mobile wallet total payment volume was $7.8 billion. Even as our mobile wallet ShopeePay benefited from the strong growth of Shopee, it also meaningfully reduced the payment friction and improved user experience on Shopee. This synergistic growth of both Shopee and Shopee Pay showcases the strength of our platform in terms of adding value for our consumers. Both platform online and offline use cases and the partnerships also grew in 2020 as we continued our initiatives to expand use cases and as we saw more natural adoption by users who appreciate assessability and the convenience of our mobile wallet services. For example, we recently expanded our partnership with Google to offer our mobile wallet as a payment option for the Google Play Store in Indonesia, in addition to our existing partnership in Thailand. As we onboard more online and offline use cases, we are seeing that our users increasingly appreciate the ease and the convenience of using our mobile wallet services. We also see that SeaMoney's merchant partners increasingly recognized the value of tapping into the vast and rapidly growing user bases of Shopee and SeaMoney. We are excited about opportunity ahead of us to serve a wider set of needs for both new and existing consumers and businesses across our ecosystems. The rapid adoption of digital financial services in our region is expected to have a long-term growth prospect, and we will continue to focus on delivering strong, efficient and sustainable growth. Turning now to our guidance for 2021. We believe that we are well positioned to continue delivering value across our communities. For the full year of 2021, we currently expect bookings for digital entertainment to be between $4.3 billion and $4.5 billion, representing 38% year-on-year growth at the midpoint of the guidance. We also expect GAAP revenue for e-commerce to be between $4.5 billion and $4.7 billion, representing 112% year-on-year growth at the midpoint of the guidance. I'm also pleased to share that Sea has completed the acquisition of Composite Capital, a leading investment management firm founded and led by David Ma. I have known David for several years. In the past, he has been a long-term shareholder of Sea and shared our vision for the business and our passion to serve our communities through technology. David and his team have a demonstrated track record of thoughtful long-term investing with a deep understanding of industry trends and the businesses globally. I'm very excited to welcome David and the team at Composite Capital to the Sea family. Along with this acquisition, I'm proud to announce the formation of Sea Capital, a new platform to manage Sea's investment efforts. David will serve as the Chief Investment Officer of Sea Capital and will report directly to me. Sea capital will focus on identifying, partnering with and investing in technology companies that share our vision of bettering the lives of consumers and small businesses through technology. By investing into the growth of our broader ecosystem, we believe Sea Capital can help accelerate the growth of the overall digital economy and create real and lasting value for our users, business partners and communities. In line with this commitment, we are allocating an initial $1 billion for Sea Capital to deploy in the coming years. We believe the addition of the Composite team and the establishment of Sea Capital will further enhance our investment and capital allocation capabilities in support of Sea's long-term growth strategies. I would also like to take this opportunity to welcome Dr. Yan Shuicheng, who has joined the Sea family to build and lead Sea AI Labs as our Group Chief Scientist. Dr. Yan is a leading expert in the field of artificial intelligence with a particular focus on computer vision, machine learning and multimedia analysis. He is an ACM fellow and Fellow of Academy of Engineering Singapore. Sea AI Labs intends to attract and collaborate with top talent in artificial intelligence with the goal of exploring and developing long-term insights and technologies related to our existing businesses and new opportunities beyond. I believe that Dr. Yan and Sea AI Labs will strengthen our capabilities in innovation and research, in line with our commitment to advancing technology to drive the development of the digital economy across our region. I'm very proud of the outstanding results our team achieved in 2020, and believe we are moving into 2021 primed for the exciting growth opportunities ahead of us. Across the business, we are focused on driving sustenance and efficient growth as we scale towards becoming a top global Internet company. We believe our single-minded goal of delivering value to our users will continue to drive our success. With that, I will invite Tony to discuss our financials.
Tony Hou: Thank you, Forrest, and thanks to everyone for joining the call. We have included detailed financial schedules together with the corresponding management analysis in today's press release, and Forrest has discussed some of our financial highlights. So I will focus my comments on the other relevant metrics. For Sea, overall, total GAAP revenue increased 102% year-on-year to $1.6 billion in the fourth quarter and 101% year-on-year to $4.4 billion for the full year of 2020. This was mainly driven by take rate growth in our e-commerce business as we continue to roll out tools to better serve our users' needs as well as growth of our digital entertainment business, especially our self-developed game Free Fire. Digital entertainment bookings grew 111% year-on-year to $1 billion in the fourth quarter and 80% year-on-year to $3.2 billion for the full year of 2020. GAAP revenue was up 72% year-on-year to $693.4 million in the fourth quarter and 78% year-on-year to $2 billion for the full year of 2020. The growth was primarily driven by the increase of our active user base and deepened paying user penetration as we continue to engage the community through new content rollout and esports events. Digital entertainment adjusted EBITDA was $663.5 million in the fourth quarter and $2 billion for the full year of 2020. This represents year-on-year growth of 149% and 94% for the quarter and the full year, respectively. This was mainly due to strong top line growth and an increased share of our self-developed game among our total bookings. On e-commerce, our fourth quarter GAAP revenue of $842.2 million included GAAP marketplace revenue of $627.6 million, up 175% year-on-year; and GAAP product revenue of $214.6 million, up 187% year-on-year. For the full year of 2020, GAAP revenue of $2.2 billion included GAAP marketplace revenue of $1.6 billion, up 155% year-on-year; and GAAP product revenue of $0.6 billion, up 173% year-on-year. The strong result demonstrated the deepening penetration of e-commerce and our ability to capture this accelerated growth opportunities created by the rapid expansion of the digital economy. E-commerce adjusted EBITDA loss was $427.5 million in the fourth quarter and $1.3 billion for the full year of 2020, as we continued our investment to fully capture the opportunities in our markets. We remain committed to efficiently investing in and growing the ecosystem to serve our users better. Digital financial services GAAP revenue was $24.4 million in the fourth quarter and $60.8 million for the full year of 2020. Digital financial services adjusted EBITDA loss was $171.3 million in the fourth quarter and $511.1 million for the full year of 2020, as we continue our efforts to drive mobile wallet adoption. Returning to our consolidated numbers. We recognized a net nonoperating loss of $124.5 million in the fourth quarter of 2020 compared to a net nonoperating loss of $15.2 million in the fourth quarter of 2019. Our nonoperating loss in the fourth quarter of 2020 was primarily due to investment loss and interest expense on convertible notes. For the full year, our net nonoperating loss was $179.9 million compared to a loss of $477.4 million for the full year of 2019. Our nonoperating loss for the full year of 2020 was primarily due to interest expense on convertible notes, while such loss in 2019 was primarily due to fair value loss of $472.9 million on our 2017 convertible notes. We had a net income tax expense of $44.2 million in the fourth quarter of 2020 and $141.6 million for the full year of 2020. This was primarily due to corporate income tax and withholding tax recognized in our digital and entertainment business. As a result, net loss, excluding share-based compensation and changes in fair value of the 2017 convertible notes, was $430.7 million in the fourth quarter of 2020 and $1.3 billion for the full year of 2020. With that, let me turn the call to Yanjun.
Yanjun Wang: Thank you, Forrest and Tony. We're now ready to open the call for questions.
Operator: [Operator Instructions]. The first question today comes from Piyush Mubayi with Goldman Sachs.
Piyush Mubayi: Congratulations on the numbers. May I just ask about the guidance that you provided on the gaming side. And looking back at the growth that you've seen in the user number in 2020, could you extrapolate from that and give us just a feel for what sort of user growth we can foresee in 2021 that's underpinning the growth in gaming revenues for 2021? And related to that, if you could expand on the driver of the improvement in margins that we're observing on the gaming side, that would be great.
Yanjun Wang: Thank you, Piyush. In terms of the user growth, we don't separate forecast for 2021. But if you look at our past performance, so far, our revenue growth -- or bookings growth for the digital entertainment segment has been driven by both user base growth as well as pay user penetration deepening, with a relatively stable average revenue per paying user. And that speaks to the strength of our game, especially our self-development game, Free Fire, which has been a top grossing game in Southeast Asia and LatAm for multiple quarters and has also become a top grossing game in India for 2020 as well as the fourth quarter of 2020. I think that is a very positive trend we are observing. We'll continue to grow our user base globally for this game. And we are also seeing very positive diversification of our revenue with Latin America now contributing the largest share of revenue. But at the same time, we see other parts of the world, including India, increasingly contribute significant portion of bookings to the digital entertainment segment. With this diversification, we're seeing Garena to become increasingly a global player with revenue coming from all over the world and user base expanding to the rest of the world rapidly. When we reached last quarter -- third quarter, we reached more than 570 million quality active users. We thought that was a very good number. And then you see in fourth quarter, our active user base has increased to 600 -- more than 600 million users. We are still continuing to see very positive user growth across all our regions, and that to us is a very positive sign for the longevity and longer term commercialization of this game as well as a return to our effort to build this game into a long-lasting IP, a strong platform and increasing the ecosystem of itself. In terms of the improvement of digital entertainment adjusted EBITDA margin, we're seeing -- as we mentioned, this is mainly attributable to Free Fire being our self-development game, which doesn't require any revenue share with any IP owner or developer. And therefore, we will continue to see margin improvement. Of course, in the longer run, we will also see more diversification of revenue both from self-developed as well as the publishing side. And we are also focusing on investing into our ecosystem in recruiting top talent, in building our technology capabilities and introducing more IT collaborations with partners across different sides, whether it's on the gaming side as well as on the social and the entertainment front, to further improve our content offering to our user base so that -- but in the longer run, we do expect to maintain a very healthy adjusted EBITDA margin for our game business, and we'll continue to run it in a very efficient manner.
Operator: The next question comes from Thomas Chong with Jefferies.
Thomas Chong: Congratulations on a solid set of guidance. On Shopee, I would like to ask about our triple-digit revenue growth. Can management comment about the business trend across different regions, Indonesia, Singapore, Taiwan, Malaysia, et cetera. I just want to get a sense about which countries are we seeing faster growth for this year? And my second question is on the digital finance side. Can management comment about our strategies for this year? In particular, whether we will step up our efforts in the food delivery or other O2O initiative?
Yanjun Wang: Thank you. In terms of the business trends and revenue growth for Shopee, first of all, we are seeing very strong growth across the regions and, in particular, our largest market in Indonesia, which we disclosed continued accelerate growth. So on GMV, orders as well as take rate side, we see even accelerated year-on-year growth rate, which speaks to volume, again, to the strength of our market leadership and our platform growth, even as most of the countries have opened up the -- in more of a contained manner as the COVID situation increasingly being under management. And I think in terms of the growth rates across different markets, we don't specifically give the breakdown. But usually, we see very strong growth in larger markets where we already established very strong market leader position as well as highly accelerated growth in some of the markets that -- where we see very strong adoption during the COVID period. For example, in the Philippines, Malaysia, Singapore, we see very strong growth as people embraced online solutions during the COVID period, and Shopee becoming increasingly the go-to platform for people's consumption needs across various segments. And that trend we're seeing going into 2021, as shown in our guidance for e-commerce again. And we're continuing to focus on driving efficient growth across our region and especially focused on serving the new users as well as the sellers being onboarded during this period of time and catering to the shift in lifestyle choices now accelerated by the COVID and lockdown measures taken so far, which will be -- as we said before, we believe it's going to have a long-lasting effect on digitalization of our economy in the region. In terms of digital financial services, we see, again, very strong growth, even though we started integrating our ShopeePay and SeaMoney wallet platform with Shopee just at the beginning of last year. We already saw a very strong adoption as demonstrated by our pay user ratio, our pay user number as well as TPV growth, and will continue to drive efficient growth for us through Shopee user base and also continue to expand it to third-party merchants. As we mentioned, we are expanding our partnership with Google to Indonesia. We have also partnered with other off-line malls and SME chains to continue to make our payment and wallet offerings available to a broader user base. Again, this is further accelerated by the fact that now people are increasingly look for -- looking for alternative contactless payment method and shifting their consumption online that requires a convenient infrastructure for online payments in a region where credit card penetration remains very low. And in terms of food and other initiatives, we see these as category on Shopee that can offer additional value-adding to our consumers. We'll continue to observe what is based on the consumers' natural consumption behavior in terms of expansion into new categories over time with efficiency.
Operator: The next question comes from Alicia Yap with Citigroup.
Alicia Yap: Congratulations on the strong results. My first question is related to Shopee. There has been a lot of news report mentioned about Shopee making good progress in Brazil. So just wondering if you could share with us your overall e-commerce thoughts or the strategies for the Latin America, specifically for Brazil? And then if you -- if we can compare between LatAm and Southeast Asia, what are some of the similarities and also the biggest difference between the 2 regions? And if your vision for this Brazil e-commerce initiative, what are the things that -- or efforts that you would need to step-up in order to achieve your target in Brazil? And then very quickly on the gaming. In terms of your studio that you are setting up in Montreal and Los Angeles and all that, is this more coming for -- potentially, we are planning to license more U.S. IP? Or is it will come up from our own IP in terms of these new games development?
Yanjun Wang: Thank you, Alicia. On the e-commerce front, as we mentioned, Brazil is initiated by our cross-border team to offer more markets to our cross-border sellers given that we already have established operations on the gaming side in the market. So it's generally efficient for us to offer additional value-adding to our sellers. On that front, we also start to see local sellers embarking on our platform and it's well received. We think that, of course, is a positive sign. However, it's still very preliminary for us, and we'll continue to observe the market and let the team run with it and see how that progresses over time. And in terms of our comparison between LatAm and Southeast Asia, I think these are very different markets. And we wouldn't presume that we know those markets very well at this point. Again, given the early stage of the development there, we will let the team explore a bit more and see how that goes. And in terms of the Phoenix Labs expansion, so these are -- if you recall, we acquired Phoenix Labs and -- as a hire effort to bring in top talent based in the West and who have traditionally a long history of experience of AAA titles and also on PC and console-based games. And the team has been expanding into other locations in the U.S. to continue to recruit more gaming talent for our long-term self-development capabilities. And at the same time, of course, our partners in the U.S. as well as other parts of the direct market have been always in close communications with them to see if there could be IP to be brought to our regions, now have been expanded to not just Southeast Asia, but also to include LatAm, India, MENA and the rest part of the world. And we have demonstrated our strong track record in managing deepening user base as well as commercialization in a pretty much unprecedented, massive way in those regions for a sustained long period of time with our own IP as well as third-party IP incorporated in our self-developed games. So with that strong track record, we believe we're in a very good position to both attract top talent from all over the world, those based in the U.S., Canada or Asia as well as to attract top IP globally and in partnership with other developers.
Operator: The next question comes from Piyush Choudhary with HSBC.
Piyush Choudhary: Two questions. Firstly, on Shopee, take rate has been improving. Can you provide us some color on the ranking of the countries in terms of the take rate? And which country has the highest potential of improvement in take rate in 2021? Secondly, on the logistics side, what are the average delivery times? And can you tell us high level plans for Shopee Xpress? Are there kind of targets for managing a percentage of orders through Shopee Xpress in 1 year? Any color over there will be helpful.
Yanjun Wang: Thank you. We don't give the take rate breakdown, but suffice to say that the take rate increase has been driven across different countries over time. We do it in a good pace and by communication -- well communication with the market, and also making sure we understand the performances and needs of our sellers and buyers as well. Most importantly, the increase in the take rate is driven by advertisement as well as transaction-based fees across different markets. So I think that there could be fluctuations also from time -- from period to period. It is a dynamic process. We always look at the condition, the time period as well as the performances of our ecosystem to decide how best to manage the take rate over time. But suffice to say that we think in the longer run, on a blended level, we still believe it can still move to an even higher rate, at an even high single or low double-digit range. And I think we're on target of getting there over time. And in terms of logistics, our average delivery time is around probably a couple of days, depending on, of course, what part of the region you're talking about. In the city, it can be less than a day. So of course, in some faraway places that it can be a longer period of time. So far, we don't see that as a bottleneck for our e-commerce business growth. Of course, during the COVID period, with the travel constraints as well as demand -- increased demand from all over the -- different parts of the region, we are quickly ramping up logistics capabilities in partnership with our third-party logistics providers as well as by increasing our own capacity in last-mile express delivery to supplement the 3PL capacity during the peak time. So we will continue to monitor the logistics demand as well as the service levels of our 3PL and help them further grow in their efficiency and capabilities in serving our users. And at the same time, ramping up our own capabilities as needed, but in a very efficient manner.
Operator: The next question comes from Ranjan Sharma with JPMorgan, Singapore.
Ranjan Sharma: Congratulations on the results. Two questions from my side. Firstly, on the gaming guidance, do new games make up any part of this guidance? And if you can share what your new game pipeline might be for this year? Secondly, we have seen Sea expanding into new geographies. And within our sell into new services, how should we think about your sales and marketing budget? And how are you allocating it to the different services?
Yanjun Wang: In terms of the game guidance, we are budgeting it based on whatever is currently visible to us, as always. We don't specifically discuss pipelines, but as we all know, we've always been testing prototypes, ideas and even more advanced games at any time -- at any point of time, and we continue to also diversify our pipelines, genres and capabilities across different types of games. So the revenue guidance or booking guidance is based on our reasonable estimates for 2021 based on whatever is currently visible to us. And in terms of the allocation of the sales and marketing, are you referring to digital entertainment segment also?
Ranjan Sharma: Can you hear me?
Yanjun Wang: Yes. Yes, I can. So for e-commerce, sales and marketing expense, as you can see, we continue to improve on our efficiency. And our allocation on sales and marketing is a -- again, a dynamic process based on the time of the year. And what we think is the development pace and pace of growth for the market, and efficiency of investment in that market as well as any opportunistic media events, for example. So these are a combination of factors we look at in allocating sales and marketing. But the gist of it is we continue to focus on efficient growth to make sure that every dollar we spend there is driving effective user growth and strong user retention and also increasing user frequency. For example, we -- during Q4, during the peak sales period, this is a very strong shopping period, and we have a lot of shopping activities as well as media activities across different markets. And these have shown very strong results, as you can see. And more importantly, we're driving up not just user time spent but also user frequency on our app. We now see more than 5.7x purchase frequency -- order frequency per month. That's another step-up from the last quarter's Q3 number. So that is a very good testament to the strength of our platform and efficiency of our investment into sales and marketing.
Operator: The next question comes from John Blackledge with Cowen.
John Blackledge: On Shopee's EBITDA, any thoughts on EBITDA trend in 2021? Would you expect losses to be higher than in 2020? And more broadly, is there a certain kind of overall take rate range we should think about that would lead to flat or positive EBITDA at Shopee? And then also on Shopee, so the 4Q '20 overall marketplace take rate was 5.3% in 4Q versus 5.9% in 3Q. So any color on the modest Q-over-Q decline in the take rate?
Yanjun Wang: In terms of the EBITDA trends, we don't provide guidance or forecast on EBITDA. I think maybe the previous question also -- my answer to the previous question, touch upon that is, a, we look at efficiency of investments; and b, we look at each market and timing based on what's the natural pace of growth and how we can invest in that growth with efficiency; and c, there could be optimistic events that could drive EBITDA fluctuations over a period of time. But most importantly, I think, suffice to say is that, we can breakeven as we choose to at this point, even at this take rate. And our Taiwan take rate is not -- for example, that's the first market where we broke even and we have achieved a very healthy EBITDA margin there, as we previously disclosed before. And the take rate in Taiwan is not highest, even among our existing market. So it's not to say that we have to drive to a very high take rate to be able to break even. Our investment in growth is really by choice and according to the pace that we think is suitable for each market. So we're in a very good position right now where our destiny is in our own hands, and we can control the pace of investment and allocation of each market in a highly dynamic and elastic way to drive efficient growth. In terms of the take rate, our take rate has actually increased quarter-on-quarter. It didn't decline. Happy to elaborate further off-line. But if you look at our past disclosure, there's increase in the take rate quarter-on-quarter.
Operator: The next question will come from Varun Ahuja with Crédit Suisse.
Varun Ahuja: I got two questions. First, can you elaborate a little bit on Sea Capital? What are the objectives on that business? Is it you're looking more like a SoftBank kind of an investment wherein you will turn up new kind of a thing? And what kind of returns time horizon? Any more color will be helpful given there are so many investments that you're looking into, into business also. That's one. And number two, there have been, during the last few months, report about you acquiring a bank in Indonesia. If you can provide more color on that, that will be helpful.
Yanjun Wang: In terms of Sea Capital, as we shared earlier that we are very happy to have the Composite team led by David Ma to join us to further strengthen our investment and capital allocation capability. We think it's very important for a global Internet company to have that capabilities in the longer run. And we will continue to build on our talent pool as well as our pipeline to further strengthen that. We don't have a specific ETA in terms of return rate, in particular, for asset-based fund. I think our overall way -- view towards that is still it is an integral part of Sea's growth story. And whatever we do on the investment side is to further strengthen our growth capabilities in the long run and to further strengthen our ecosystem as well as to further our mission and vision to go -- to use technology to serve our users, our communities as well as ecosystem participants in our core regions. So I think this is not a -- any departure from our existing course of trying to grow the business in the long run and maximizing return to our shareholders for the long run. In terms of the Indonesia bank, we have gotten a bank license in Indonesia as well, and we see this as an integral part of our SeaMoney segment where we continue to build out the infrastructure for digital payments as well as digital financial services. We'll continue to focus on the technology front of our business as part of our core DNA. But at the same time, our focus is to use the technology that we have in our Internet DNA to see how best to further strengthen the digital economy infrastructure in our region, which were products. And at the same time, we believe there are significant opportunities in the long run that could even exceed the size of our current opportunities we're looking at -- in that segment. So we're very -- we're going to adopt a very long run view towards that and look at DFS as a highly comprehensive segment, and each part as integral part of our long-term venture into DFS.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Min Ju Song for any closing remarks.
Min Ju Song: Thank you, everyone, for joining today's call. We look forward to speaking to you all again next quarter. Thank you.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.